Operator: Ladies and gentlemen, thank you for standing by. My name is Brent and I will be your conference operator today. At this time, I’d like to welcome everyone to the Watts Water Technologies, Inc. First Quarter 2023 Earnings Conference Call. [Operator Instructions] Thank you. Now my pleasure to turn today’s call over to Ms. Diane McClintock, Senior Vice President, FP&A and Investor Relations. Please go ahead.
Diane McClintock: Thank you and good morning, everyone. Welcome to our first quarter earnings conference call. Joining me today are Bob Pagano, President and CEO; and Shashank Patel, our CFO. During today’s call, Bob will provide an overview of the first quarter and discuss the current state of the markets and our operations. Shashank will discuss the details of our first quarter performance and provide our outlook for the second quarter and for the full year. Following our remarks, we will address questions related to the information covered during the call. Today’s webcast is accompanied by a presentation, which can be found in the Investor Relations section of our website. We will reference this presentation throughout our prepared remarks. Any reference to non-GAAP financial information is reconciled in the appendix to the presentation. Before we begin, I’d like to remind everyone that during this call, we maybe making certain comments that constitute forward-looking statements. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially. For information concerning these risks, see Watts’ publicly available filings with the SEC. The company disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. With that, I will turn the call over to Bob.
Bob Pagano: Thank you, Diane and good morning everyone. Please turn to Slide 3 and I will provide an overview of the quarter. I’d like to start by recognizing our team for their continued efforts to serve our customers. Together, we delivered another better-than-expected quarter with record first quarter sales, operating margin and earnings per share. The Americas and Europe teams expanded top line growth at a low single-digit pace, primarily due to price. Both regions continued to drive organic growth despite the tough comparison to double-digit growth in the first quarter of 2022. We also saw high single-digit growth in APMEA despite challenges in China after COVID restrictions were lifted and the impact of unprecedented flooding in New Zealand. Adjusted operating margin exceeded expectations, supported by solid price realization, favorable mix and productivity, which more than offset inflation, lower volume and incremental investments. As a result of our strong earnings and expected cash flows for the remainder of 2023, we announced a 20% dividend increase, starting with our payment in June. Our balance sheet remains strong and provides ample capacity to afford us flexibility in our capital allocation strategy. From an operations perspective, we acquired the assets of Enware Australia in an all-cash transaction that closed at the beginning of the second quarter. Enware is a leading supplier of specialty plumbing and safety equipment with annual sales of approximately $30 million, primarily within the Australian institutional and commercial market. This acquisition broadens our product offering and channel access in a region with well-established and tightly enforced plumbing codes, a criteria that is well aligned with our strategy. We welcome our new Enware colleagues to Watts. The integration process has started and is progressing well. Enware will be reported in the APMEA segment. On the inflation front, we continue to see cost increases across material, labor, overhead and other fixed costs. While the inflation rate has moderated from 2022 levels, it is still above normal historical levels and commodities are again beginning to rise. As a result, we continue to assess our price/cost relationship and rolled out additional price increases late in the first quarter. I also want to mention that we’ll be issuing our annual sustainability report during the second quarter. Our teams have made tremendous progress advancing our ESG strategy and initiatives, and we are looking forward to sharing this with you, so stay tuned. Next, I’d like to provide an update on our end markets. From a macro perspective, global GDP, which is a proxy for our repair and replacement business is lower than last year but remains positive in our key markets. Europe has remained more resilient than we had anticipated as energy subsidies continue to support our business in Germany and Italy. However, new building permits have been trending downwards, and we are monitoring that closely. In the Americas, as expected, new residential single-family construction has been weak with single-family starts down double digits. Multifamily construction is up from the annual pace in 2022, but showed a sequential decline in March, which may be an early indication of slowing in the multifamily market. In the Americas, non-residential new construction indicators are mixed. Despite the March reading slightly above 50, the ABI has been below 50 for several quarters portending a slowing towards the end of 2023. However, the Dodge Momentum Index continues to be an expansion territory, suggesting growth in non-residential projects will continue throughout 2023. Certain sectors have been stronger, including institutional, which encompasses healthcare and education as well as data center projects in food and beverage. In the Asia Pacific region, China end markets were resilient in the first quarter with data center demand remaining strong and offsetting the slowing in residential new construction and our underfloor heating business. We are seeing improving markets in the Middle East due to continued higher oil prices. However, the rising interest rates have begun to impact new construction in Australia and New Zealand. Now an update on our outlook for the second quarter and the remainder of the year, we expect our year-over-year second quarter top line organic growth to be muted due to the very strong second quarter we had in 2022 with double-digit growth. We also anticipate declining operating margins due to the reduced volume, incremental investments and the onetime benefit of approximately $7 million we secured in the second quarter of 2022 from our proactive investment in inventory at lower costs combined with higher price. Due to our Q1 performance and our expectations for Q2, we are increasing our full year outlook for operating margin expansion. The solid first quarter margin performance plus favorable price and mix should mitigate expected second half market headwinds. We are maintaining our full year organic sales growth outlook consistent with our guidance in February. We remain cautious on the second half of 2023 due to the potential impact of rising interest rates, lending tightening on new construction and persistent inflation. We expect Enware to add approximately $20 million in sales in 2023, with very little contribution to operating margin as we work on integration and adjusting the cost structure. With that, let me turn the call over to Shashank, who will address our first quarter results and our second quarter and revised full year outlook.
Shashank Patel: Thanks, Bob and good morning everyone. Please turn to Slide 4, and I will review the first quarter’s consolidated results. Sales of $472 million were up 2% on a reported basis and up 4% organically. As Bob mentioned, we drove growth in all regions despite the tough comparison to a very strong first quarter in 2022. Foreign exchange, primarily driven by a weaker euro reduced sales by approximately $9 million or 2% versus 2022. Adjusted operating profit was $84 million, up 16% compared to last year and adjusted earnings per share were up 18% to $1.92. Adjusted operating margin of 17.9% was up 220 basis points as price, mix and productivity more than offset inflation, lower volume and incremental investments. The adjusted effective tax rate was 22.5%, 40 basis points higher than the first quarter of 2022. The slight increase relates primarily to the changes in worldwide earnings mix. Our free cash flow for the quarter was $28 million as compared to negative cash flow of $8 million in the first quarter of last year. The cash flow increase was primarily due to higher net income and lower investment in inventory. We expect sequential improvement in our free cash flow, and our full year goal is to achieve free cash flow conversion of 100% or more of net income as previously communicated. During the quarter, we repurchased approximately 22,000 shares of our common stock for $4 million, and as Bob mentioned, announced a 20% increase in our dividend starting in June. Please turn to Slide 5 and let me provide a few comments on the regional results. The Americas had a solid quarter with organic sales up approximately 3% despite a tough prior year comparison. The growth was primarily driven by price realization across the majority of our platforms and channels. As expected, we did see softening in our residential end markets, which mainly impacted our OEM and specialty channels. Adjusted operating profit increased by 25% and adjusted operating margin increased by 400 basis points. The margin expansion was driven by price, mix and productivity, which more than offset volume declines, inflation and incremental investments. Europe demonstrated resiliency with organic sales up approximately 4%. Reported sales were negatively impacted by 5% from unfavorable foreign exchange movements. Growth was primarily due to price with growth in Germany and Italy driven by our OEM business and in France and Benelux through solid wholesale activity. As a reminder, we stopped our direct shipments to Russia in April 2022, and we estimate the impact of that to be approximately $2 million in the first quarter. Operating margin declined by 250 basis points as price and productivity were unable to fully offset inflation and volume deleverage. APMEA also had a solid quarter, delivering 11% organic growth. Reported sales growth of 4% was negatively impacted by 7% from unfavorable foreign exchange movements. China’s organic sales grew double digits, primarily from commercial valves sold into data centers. Organic sales outside China were up by high single digits with growth in Australia and in the Middle East, partially offset by a decline in New Zealand due to historic flooding. Adjusted operating margin increased by 490 basis points due to higher third-party sales volume, affiliate volume, price and productivity, which more than offset inflation. Slide 6 provides our assumptions about our second quarter and full year operating outlook. First, let’s cover the second quarter outlook. As Bob mentioned, we have a very tough comparison to a strong second quarter in 2022. We estimate consolidated organic sales may be flat to down 4%, with low single-digit declines in the Americas and Europe, offset partly by low single-digit growth in APMEA. In addition, we expect approximately $7 million of sales from the acquisition of Enware. We estimate our adjusted operating margin could range from 17.2% to 17.8% for the second quarter, down 70 basis points to 130 basis points versus prior year. The decline is due to the reduced volume, incremental investments of approximately $5 million, and the onetime benefit of $7 million we spoke about in the second quarter of 2022 from our proactive investment in inventory at lower cost combined with higher price. In addition, we expect Enware acquisition to be dilutive to operating margin as we work to right-size the cost structure. Corporate costs should be approximately $13 million, and interest expense should be approximately $2 million in the second quarter. The adjusted effective tax rate should be approximately 25%. We are now assuming a 1.09 average Euro/U.S. dollar FX rate for Q2 versus the average rate of €1.07 in Q2 2022. This implies an increase of 2% year-over-year in Q2, which equates to an increase of approximately $2 million in Europe sales and $0.01 a share in EPS versus prior year. Now let’s cover the full year outlook. For the full year 2023, we are maintaining our prior outlook of minus 5% to plus 2% consolidated organic growth. We believe that our better-than-expected start in the first quarter will be able to offset potential weakening in multifamily and non-residential new construction. In addition, we expect approximately $20 million of sales from the acquisition of Enware. While we are maintaining our organic top line outlook, we are increasing our full year adjusted operating margin contraction to a range of minus 70 to minus 10 basis points compared to our previous outlook of minus 100 to minus 40 basis points. We now expect our adjusted operating margins to be between 15.7% and 16.3%. We expect our solid first quarter plus price and productivity will offset potential further weakness in the second half and the dilutive impact of the Enware acquisition. Our free cash flow expectations are anticipated to be in line with our previous outlook from February and should meet or exceed 100% of net income. We are now assuming a 1.09 average euro-U.S. dollar FX rate for the full year versus the average rate of euro 1.05 in 2022. This would imply an increase of 4% in sales year-over-year and equates to an increase of $12 million in Europe sales and $0.04 a share in EPS for the full year versus prior year. And regarding other key inputs for the full year, we expect corporate costs to be approximately $52 million for the full year. Interest expense should be roughly $8 million for the full year. Our estimated adjusted effective tax rate for 2023 should be approximately 25%. Capital spending is expected to be in the $42 million range. Depreciation and amortization should also be approximately $42 million for the year. We expect our share count to be approximately 33.5 million for the year. Now, let me turn the call back over to Bob before we begin Q&A. Bob?
Bob Pagano: Thanks Shashank. On Slide 7, I would like to summarize our discussion before we address your questions. The first quarter was better than we anticipated with record first quarter sales, operating margin and earnings per share, supported by price and favorable mix. While we expect muted top line growth in the second quarter due to challenging prior year comparisons, we are increasing our full year operating margin expansion outlook and are maintaining our full year organic sales growth expectations. We acquired Enware Australia and are working on integration into the Watts portfolio. We continue to stay on top of the price/cost dynamic and adjust as needed. Despite the weakening macros, we will continue to make incremental investments in new product development and to drive our smart and connected strategy and in automation to drive productivity. We are also increasing our dividends by 20%. We are well positioned financially, operationally and commercially to take advantage of market opportunities as they arise. And I am confident in our team’s ability to execute in this uncertain environment. With that, operator, please open the line for questions.
Operator: [Operator Instructions] Your first question is from the line of Mike Halloran with Baird. Your line is open.
Mike Halloran: Hey. Good morning everyone.
Bob Pagano: Good morning Mike.
Mike Halloran: So, a couple of questions here. First, I certainly understand the leading indicator side of things, particularly for some of the multifamily, ABI, everything like that. But when you look at the core business you have today, leaving aside the residential piece, single-family, are you seeing in North America deterioration happening at this point in time, or is this still perspective? And any kind of channel-oriented commentary would be great.
Bob Pagano: Yes. Mike, I think we are really seeing it in the residential single-family side. That’s where we are down. We are seeing it in the OEMs. We saw more destocking in Q1 and expecting a little more OEM destocking in Q2. So, that’s where we are really seeing it. I would say multifamily is holding up and non-resi is holding up also.
Mike Halloran: Any nuance on the non-res side worth mentioning? I mean because non-res is an awfully big market with different constituents.
Bob Pagano: Yes. Again, our product doesn’t really care what market it goes into. So, if office buildings are down and institutional up, it just ships, right. So, with the labor shortages in the construction market right now, the contractors are still busy and these jobs are continuing to happen. But as you said, we are watching the leading indicators because we are a short-cycle business.
Mike Halloran: And then second one on the margins here. Obviously, the really strong performance in the first quarter, North America in particular, you look back over the last four, five quarters, frankly longer, but last four or five quarters, you have been hovering, well, in the low 20s on all-in here. You look at how the guidance seems to cadence out, you saw on the margins through the year. Could you just talk about the puts-and-takes? It seems like that’s just mostly tied to the volume side of things. Obviously, there is a 2Q year-over-year comp that you mentioned with the $7 million. But anything else you would point to we saw other than just caution about the environment, or is there something else in that margin profile worth mentioning?
Shashank Patel: Yes. So, there is a couple of things, right. So firstly, we did have some slightly favorable mix in the first quarter. As we sell less in single-family residential, the margins there tend to be lower. So, there is some mix favorability that helped Americas. And then secondly, on the price-cost side, if you recall, we had price increases pretty much consistently every quarter. We start lapping those starting in the second quarter. The first quarter, we still got benefit of most of the four increases we had last year. So, that helped the margin profile. And then finally, on the cost side of the equation, certainly on the inflation, as Bob noted, inflation has moderated. We saw that in Q1 – beyond commodities in things like logistics costs, etcetera, inflation was a lot less.
Mike Halloran: Thanks Shashank. Thanks Bob. Appreciate it.
Bob Pagano: Thank you.
Operator: Your next question comes from the line of Jeff Hammond with KeyBanc. Your line is open.
Jeff Hammond: Hi. Good morning guys.
Bob Pagano: Good morning.
Jeff Hammond: Can you just speak to what you are seeing in the channel around any destocking maybe beyond residential – just as supply chains get better if you are seeing any of that in the channel?
Bob Pagano: Yes. I think electronics is still spotty from a supply chain issue point of view. I would say, as I have said earlier, the destocking is more in the OEM residential side. Wholesale, we are watching it. We are seeing – it’s harder for us to see because we don’t have a lot of visibility into all of the wholesale channel, but it seems like it’s stabilized. We are still watching that very closely. But in general, it’s more – the softness is on the residential side.
Jeff Hammond: Okay, and then just back on the margins, it seems like 2Q is always a step-up from 1Q as you get the seasonal volume, but the guide is kind of suggesting margins are kind of flat to down. It seems like the price-cost gap is getting wider, and you are seeing some moderation in inflation, and we have had a lot of companies talk about – just as supply chain friction, expedited freight, euro-spot buys kind of normalized. You see some of that drop to the bottom line. So, just I don’t know if there is something I am missing there.
Shashank Patel: Yes. A couple of things. So obviously, we had a little bit of more volume leverage in Q1 versus Q2 because Q1, we grew the business at about 4%. And the midpoint of the guide is about a 2% decline. So, there is some volume deleverage in the second quarter. Back to that pricing dynamic, as I have said earlier that we had the benefit of full prices in Q1. That starts fading in the second quarter, so in Q1, our price realization, mid to high-single digits. We will talk about the second quarter when we close out the second quarter, but our expectation is it will be less. So, that impacts the margins.
Jeff Hammond: Okay. And then just back on kind of non-res. Maybe can you just speak to your lead indicator products, remind us what those are and what you are seeing there that would maybe signal or not signal a slowdown in commercial construction?
Bob Pagano: Yes. In general, things are holding up. We did see a slight decrease in some of our drains, but that was based on some lumpy business, project business in the prior year. So, I think it’s basically holding steady at this point, Mike, I think – Jeff. What we are doing is continuing to talk to our channels, our contractors. They continue to be busy. They have a backlog of work. So, that’s how we are watching this. The leading indicators are longer term, but feet on the street, talking to what’s happening out there is what we are really watching at this point in time. As I have said earlier, labor shortages are prolonging this. So, there is a backlog of jobs. I think as we have said, as we get into the second half, that’s where we are being a little cautious at this point in time to watch that. Again, we are a book and ship business.
Jeff Hammond: Okay. Thanks so much.
Bob Pagano: Thanks Jeff.
Operator: Your next question comes from the line of Nathan Jones with Stifel. Your line is open.
Nathan Jones: Good morning everyone.
Bob Pagano: Good morning Nathan.
Nathan Jones: Maybe a question on the Enware acquisition, I mean that adds pretty significantly on a relative basis, I think to the business in Australia. Can you talk about how you leverage that business to grow? Do you need to make more acquisitions there to build scale? What’s the strategic plan with that?
Bob Pagano: Yes. So, Enware, look at it, it’s in Sydney. It designs and engineers and manufactures specialty plumbing and safety equipment, and it fits nicely. It’s quite honestly a turnaround for us. It’s basically a breakeven business. Team is already at work integrating that, and we like the channel access to bring our other products with it as well as they did a lot of, what I call, sourcing locally, and we will leverage our global sourcing business. But overall, it gives us scale as well as it gives us additional channel access for our existing products.
Nathan Jones: Do you need to build further scale to really leverage channels into it and things like that? Like is that a strategic priority at this point? I know you have looked to move into developed markets that have strong plumbing codes. Do you need to build more scale in Australia or wherever else you choose to go in order to leverage those businesses probably?
Bob Pagano: Yes. In general, I would say our whole APMEA region, we want to continue to scale and leverage that. So, we are looking for quality acquisitions that give us channel access. We have been building a nice position, both in Australia and New Zealand, now a cumulative three acquisitions. It’s given us some good numbers. In total, it’s going to be probably more than half our business now in APMEA when you add all this together. So, we have been building scale. We have been building capabilities, and like you said, we want to be in code developed countries that – which is really important. The second part is, that enforce codes, that’s the important thing. So, that’s why we like that region of the world. And again, it’s more about focus. In that business, it’s – they tried to be everything to everyone, and we are being 80-20 focused and reevaluating the whole product portfolio and mix and sourcing capabilities in that organization.
Nathan Jones: You just let me know when you want to take me to see that business.
Bob Pagano: Shashank is going in a couple of weeks.
Nathan Jones: I am sure my invite is in the mail. Just on the Europe margins, they were down 200 bps year-over-year, but given the volume leverage and the high fixed cost base there, I thought a pretty good performance out of Europe. Can you maybe provide some more color on the margin profile there, the contributing factors to the pretty decent margin performance there and how we should think about that going forward?
Shashank Patel: Yes. If you recall last year, Nathan, in the first half, we had very robust margins in Europe, leveraging the volume, and then they dropped off pretty significantly in the second half as the volume came down, and we had a high fixed cost base. As you recall, we took restructuring actions in Europe in Q4 and early on in January, and that’s certainly helping, and that’s helping the margins in Q1 as well as the fact that the volumes came in better than we had anticipated in Europe. So, less volume deleverage than we thought. And that was – obviously, the strength in Italy, Germany, a little bit in France and Benelux, those regions came in better. So, there was less volume deleverage, and that’s why the margin profile was better.
Nathan Jones: Great. Thanks very much for taking my questions.
Shashank Patel: Thank you.
Operator: Your next question is from the line of Michael Anastasiou with TD Cowen. Your line is open.
Michael Anastasiou: Hey. Good morning guys. Thanks for taking my question.
Shashank Patel: Good morning.
Bob Pagano: Good morning.
Michael Anastasiou: You had mentioned earlier price was about high-single digit in the quarter. Can you just dive into sort of the price impact expected for the remainder of the year?
Shashank Patel: Yes. So, we had said first quarter was mid to high-single digit price realization. We don’t really comment on price until we close out the quarters because now we are going on to 2 years plus with price increases. But the expectation when we did our call about three months ago, we expect to be in the low-single digits for the full year. So, that does come down as we go through the year just because we comp higher price realizations last year.
Michael Anastasiou: Great. Thank you. And then just on the general commercial side and kind of multifamily and stuff like that. Can you just comment on sort of the cadence throughout the quarter? Anything in particular that would be interesting there?
Bob Pagano: No, I commented earlier that it’s been holding up. Where we are seeing the softness is single-family side of the business, and that’s where most of the issues are at this point in time as well as the OEM destocking that we are seeing.
Operator: [Operator Instructions] Your next question is from the line of Walt Liptak with Seaport Global. Your line is open.
Walt Liptak: Hi. Good morning everyone.
Bob Pagano: Good morning Walt.
Walt Liptak: Hi. Good morning. Shashank, I am ready to go visit Enware too, so just let me know. I wanted to ask a follow-on to the Enware question. It sounds like with the turnaround – love to hear the 80-20 being talked about, that’s great. Can you talk about what normal margins would look like for Enware in the future? And then how much – how long does it take to get them there?
Bob Pagano: Well, we are expecting basically breakeven now. And then we will continue to ramp up over the next 3 years to get it back in line with the overall APMEA type margin. So, that’s our goal. The teams are working aggressively and have already taken aggressive actions already. So, team is on the ground, making good strides.
Walt Liptak: Okay. Great. And then on just kind of M&A more generally, it’s good to see you guys get one done here. The rising interest rate environment, is it – are you seeing more deals come into the pipeline from private equity or whoever? And are you seeing any changes in valuations?
Bob Pagano: I would say in general, I mean M&A activity is still out there. It’s hard to comment on it because it takes two people to get their minds around whether they want to sell or not. But our pipeline is full. We look at small, medium and large acquisitions, and we are – I would say it’s about the same. We are continuing to monitor it, but I don’t think the environment has changed that substantially at this point in time.
Walt Liptak: Okay. Alright. Great. And then I don’t think I have ever asked a question about this of any company before. But the dividend increase, I think you said was 20%. Is that par for you guys, or is there something that we should read through about the cash levels and uses for cash? I wonder if you could just comment on that.
Shashank Patel: Yes. We tend to drive to a median yield of about 0.9%, which is kind of in line with the median for the water space. Back in the pandemic days of 2020, we didn’t have any increase. So, we fell a little bit behind because of that as well as our EPS has obviously done well and our stock price has done well. So, it’s in order to try to get back to that median level of 0.9%. That’s why we had the 20% increase. So, beyond that, there is no need to read anything else into that.
Walt Liptak: Okay. Great. Okay. Thank you.
Bob Pagano: Thanks.
Operator: Your next question is from the line of Brian Lee with Goldman Sachs. Your line is open.
Unidentified Analyst: Hey everyone. This is Miguel on for Brian.
Bob Pagano: Hi Miguel.
Unidentified Analyst: Hi everyone. Just a follow-up question on Enware again. You said it would take about 3 years to sort of fully get that business up to the overall APMEA margin levels. Could you just maybe talk through specifically what are the levers to get you there? Do you need to grow that business to a certain scale? Is it a combination of that plus integrating the operations, working on cost structure? Just any additional color there would be great. Thanks.
Bob Pagano: Well, it’s certainly all of the above, but I would tell you the first focus is on profitable growth, which you know, our playbook. So, if anything, volume is going to go down in the short-term, because we are going to rationalize products, again, the 80-20 concept of making sure we are producing and manufacturing products that make money. And then the second thing, it’s about focus, right. And the team is looking – most of their product was sourced locally. We are going to leverage our global sourcing capabilities around the world, including our global plants to optimize some of the production of that material. So, it’s about focus, it’s about rightsizing the business and potentially decreasing the sales volume to get the profitability, again, similar to what we have done at Watts here.
Unidentified Analyst: Great. That’s helpful. And then just a quick follow-on. Historically, can you give a sense of maybe how quickly that business had been growing in Australia? And then you are talking about maybe rightsizing in the near-term. So, what does that look like in terms of the near-term growth for that business then?
Bob Pagano: In general, it’s mid-single digits. But as I always tell, anybody can give away products, right, and get the growth. So, it’s about leveraging overall profitability, but our goal is to get that in the mid-single digit growth.
Unidentified Analyst: Okay. Great. Thanks. It’s very clear. I will pass it on.
Bob Pagano: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call back over to Mr. Bob Pagano.
Bob Pagano: Thank you for taking the time to join us today. We appreciate your continued interest in Watts and look forward to speaking with you again at our second quarter earnings call in early August. Have a good day, and stay safe.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.